Linda Palsson: Good morning, everyone. Earlier today, we released AFRY's Q4 and Full Year 2025 Results. And I'll start by taking you through the main highlights from the report, and then I will hand over to our CFO, Bo Sandstrom, who will share more details on the financials. So let's begin with a brief overview of the full year of 2025. To summarize the year, it has truly been a year of laying the foundation for sustainable and profitable growth for AFRY. Since I took on the role as CEO a year ago, we have moved quickly, implementing a new simplified group structure and launching an ambitious restructuring agenda. This has enabled us to initiate harmonized ways of working across the business and measures to improve operational efficiency. In November, we introduced our new focused strategy, unlocking AFRY, which aims to realize the full potential of our company. Alongside this, we also introduced new financial targets for 2028. So as we enter 2026, we are already well underway in executing on our strategy. And while we have driven change across the organization, it has been absolutely essential for us to maintain the business momentum and continue delivering to our clients, which remains our top priority. This has meant a strong focus on capturing opportunities in sectors with significant growth potential. At the same time, we have navigated challenging market conditions in several of our segments this year. Global uncertainty has remained high, impacting the overall investment sentiment across many sectors. We have also adjusted capacity throughout the year in line with our strategic priorities, which includes market-related capacity adjustments. This has, together with the significant currency effect had an impact on our sales development for the full year. We also experienced a weak calendar during 2025, which impacted EBITA by minus SEK 128 million, while the calendar adjusted EBITA margin was in line with last year. Based on AFRY's financial position and results for the year, the Board proposes a dividend of SEK 6 per share for 2025. So taking a closer look at the fourth quarter, we are now seeing clear steps in the right direction. We strengthened our order backlog, which increased 5.4% adjusted for currency. And while sales growth levels remain pressured, the EBITA margin, excluding items affecting comparability, improved to 8.7%. And I was also glad to see that the utilization rate increased year-over-year for the first time in 14 quarters. This reflects our strong focus on operational efficiency and our commitment to improving this metric. In the quarter, we also made significant progress in our restructuring agenda to optimize our portfolio and adjust capacity. And finally, we ended the year with a strong cash flow and strengthened our financial position, which gives us a solid foundation as we enter the new year. So let's go into the market environment and the performance of our global divisions, starting with Energy. As we have seen for quite a while, the overall demand in the global energy market is strong, and we have a stable order backlog development in the quarter. The demand is particularly strong in areas such as transmission and distribution, hydro and nuclear power. At the same time, we are seeing some regional variations in some of the segments. And this, together with significant currency effects impacts the sales in the quarter. Profitability remains at high levels, supported by strong project execution in several of our segments. Turning to Industry. The market remains mixed. This is the division where we see the most impact from global macroeconomic and geopolitical uncertainty, which continues to weigh on market conditions. At the same time, defense-related investments are driving strong demand in several areas, and the mining and metals market remains solid, pulp and Paper, however, continues to be soft. We have negative sales growth in the quarter. But despite this, we managed to improve profitability, which is a result of the restructuring efforts that we have implemented in the division. And then finally, turning to our third global division, Transportation & Places. Here, we see that the transport infrastructure market remains globally strong with public investments remaining stable across the division's markets. Demand in the real estate sector remains low with activity shifting more towards refurbishment, public sector projects and investments related also here to defense. The decline in the net sales for the quarter is driven by capacity adjustments to mitigate the weak market in parts of the division. And this also impacts the EBITA margin. But looking forward, this division has an important and exciting strategic journey ahead. And that's why I'm very pleased to introduce our new Head of Division, Richard Beard. Richard joined AFRY just a couple of weeks ago as the new Head of our Global Division Transportation & Places. And Richard, he brings extensive experience from leading global businesses and his deep understanding of our industry makes him an excellent fit to lead this division going forward. He also has a strong background in leading transformational change, and I am convinced that he will be a great addition to AFRY's executive team. So welcome, Richard. Now I would like to talk a bit about some new client contracts that we won during the quarter. To start with, AFRY was awarded a contract by MEPCO for project management services related to their new paper machine line. We have been involved in the project from the development stages, and now we are continuing with assignments to secure successful completion of the project. And as you know, Pulp and Paper is an area where we have globally leading expertise, and this is a great example of how we support clients throughout the full life cycle of large-scale projects. We also have a very strong and long-standing collaboration with Vattenfall. So it's great to see that we now have signed a new framework agreement with them. The agreement covers technical consulting services for nuclear, hydro, and wind power across several areas and regions of Vattenfall's operations. So this will be a very important agreement for us going forward. And in Switzerland, we continue to strengthen our position in the transport infrastructure market as we were selected for the expansion of the Lotschberg railway tunnel. This project is a part of a large national initiative to strengthen sustainable transport through the Alps, and we were very happy to support with our railway engineering expertise. And speaking of our ability to win new contracts and stay competitive on the global market, I would like to mention another highlight from the quarter. The new 2025 ENR ranking of top engineering and design companies confirms AFRY's global leading position in the key segments. We maintained our strong positions in the overall industry and energy sectors, placing us #6 in both categories. It was also encouraging to see that we continue to hold a market-leading position in pulp and paper. We advanced significantly in the hydro category, moving up to #3. And for the first time, we made top 10 position in the solar category. This ranking helps us strengthen our long-term relationships with our key clients as a trusted partner. And they serve as an important proof point in connection to new clients to prove our global capacity and provide full life cycle offering. Another central element of our strategy that I want to touch upon this quarter is our attractiveness as an employer. As we are going through a period of significant change as a company, it's especially important that we closely monitor employee satisfaction and engagement. And our focus on leadership and culture is a part of our DNA and a key priority for us. And we continue to see that our employee reputation is strong. In Universum's most recent ranking, AFRY was recognized as one of Sweden's most attractive employers. We also track our attrition rate closely, and it's encouraging to see a steady decline in group attrition since 2022 and that we've been able to keep it stable throughout this transformation journey. We are confident that our strategic direction creates clearer benefits for our employees, providing exciting projects with leading clients and global development opportunities. Our healthy attrition rates reinforces our confidence in this direction as we continue to focus on attracting and retaining the best-in-class engineers and advisers. And with that, I would like to hand over to you, Bo to talk a little bit more in detail about the financials.
Bo Sandstrom: Thank you, Linda. So I will cover the financials for Q4 and full year 2025. Quarter 4 showed net sales of SEK 6.6 billion and EBITA, excluding IAC of SEK 577 million. On rolling 12 months, we closed the year at SEK 25.8 billion on net sales and remain right below SEK 1.9 billion on EBITA. For the full year, development compared to last year, we carry significant negative currency and calendar effects, explaining approximately SEK 700 million on net sales and SEK 190 million on EBITA. In Q4, with a net sales of SEK 6.6 billion, we report adjusted organic growth of negative 4.3%, where volume is pressured by capacity adjustments related to our high-paced restructuring agenda. We maintain a positive underlying pricing, but the market price pressure in some segments seen in Q3 continue in Q4, and the average price development is somewhat lower than seen in the beginning of the year. Total growth is reported at minus 6.2%, affected materially in the third consecutive quarter by FX movements from a strengthened SEK earlier in 2025. The negative adjusted organic growth in Q4 was sequentially somewhat lower, but materially in line with what we saw in Q3. Global divisions, Energy and Industry both saw small sequential improvements from low levels, where in particularly Industry continued to experience a challenging market but is starting to move out of extensive restructuring. Transportation & Places showed sequential decline, mainly related to capacity adjustments in Q4. The order backlog continued to develop favorably and is reported at SEK 20.4 billion, improving to last year and in line with last quarter. Currency adjusted, the backlog has improved 5.4% to last year despite strong comparables in Global Division Industry in Q4 '24. Given current currency headwinds and our restructuring efforts that are ongoing, we're particularly happy to see a solid backlog development in all our 3 divisions. EBITA, excluding IAC, is reported at SEK 577 million with no calendar effects. The EBITA margin was at 8.7%, an improvement from 8.3% last year. Currency movements have limited impact on the EBITA margin, but in absolute terms, we estimate a negative currency impact of SEK 20 million on EBITA compared to last year. Global divisions, Energy and Industry support the margin development of the group. And particularly for Industry, we see positive trends that the division is coming out of the restructuring agenda with improvements in utilization, supporting the EBITA margin development. The year-over-year margin improvement in Energy and the decline in Transportation & Places reflect normal quarterly fluctuations in our project business. On utilization, we report a utilization of 72.8% for Q4, the highest in 2025 and an improvement of 0.5 percentage points to last year. This is then the first quarter in 14 quarters where we report an improvement to last year, and it marks an important step for our strategic efforts to improve operational efficiency in AFRY. We will continue our focus on improving this metric throughout 2026. We report SEK 161 million restructuring costs as item affecting comparability in Q4, bringing our total to SEK 192 million in the ongoing restructuring program. The restructuring costs, again, primarily relate to redundancies across the group. We make significant progress in our efforts to reshape the portfolio. And as we move into 2026, we will intensify our efforts on addressing the cost base. With 2 quarters to go in the restructuring program, we estimate that total restructuring costs will be at the upper end of our guidance of SEK 200 million to SEK 300 million. With Q4, we report our estimated calendar for 2026. We estimate that calendar will have a small but positive effect to EBITA, particularly in the last quarter of Q4 of 2026, that is. As anticipated, we carried a very strong operational cash flow in the fourth quarter. Cash flow from operating activities in Q4 was in line with the record high Q4 2024 and was particularly strong given the heavy restructuring agenda that we currently carry. Available liquidity increased to SEK 4.4 billion. Net debt fell below SEK 4 billion. Deleveraging to close the year was at 2.5x. And that was then straight on our financial target. We go into 2026 with a solid financial position, and the Board proposed an unchanged dividend of SEK 6 per share for 2025. With that, I leave back to you, Linda.
Linda Palsson: Thank you, Bo. Now I would like to wrap up the presentation by summarizing our main messages from the quarter and share our key priorities going forward. We are now starting to see results from our efforts to focus, simplify and harmonize the business. We are ending the year with a fourth quarter in which we have improved the margin and utilization rate, strengthen our order backlog and with a strong cash flow, all of which are key priorities for us. Meanwhile, global uncertainty continues to shape the broader market landscape. As we now move into 2026, it's essential that we maintain our business momentum and that we navigate the current market conditions effectively. We will continue to executing our strategy at a high pace, including efforts to further strengthen our order backlog and improve utilization. We will also finalize the remaining parts of our restructuring agenda and portfolio optimization. And this action will be critical for delivering on our strategic ambition and targets as we set for 2028. And we have entered 2026 well into the strategy execution phase, and we are fully focused on the direction ahead. So with that, I think we open up for Q&A.
Operator: Yes. So we will now open up for the Q&A session. And let's start with Dan Heimer from SEB.
Dan Heimer: Maybe I'll start a little bit on how much of the run rate savings did you benefit from this quarter from the restructuring measures? And now when you're aiming for the higher end, is it still mainly personnel-related savings you see? Or what's the swing factor sort of versus previously? And do you still see 12-month paybacks on those savings?
Bo Sandstrom: Yes. Thank you, Dan. I'll take that. Yes, I mean, as you can see, we stepped up the restructuring efforts in the quarter. And I would say to generalize it, is particularly towards the end of the quarter that we executed on those measures that you then see reflected in the restructuring costs. So some, but limited effects on the margin in a sense in Q4. Most of it will then carry into 2026. And looking at what we are executing on, the entire restructuring program will be redundancy related. So it's practically personnel related, but it's personnel with a focus on different parts of the organization. So the original guidance in a sense that we said on a payback of 12 months, it still holds. It can theoretically be a bit different kind of quarter-by-quarter as we go through. But from a general perspective, it still holds on where we are right now.
Dan Heimer: Understood. And maybe a question on Transportation & Places as well. You saw a bit of a margin drop here versus last year. Why is the capacity adjustment not help you here like industry since you are fewer employees? Is it because the market has continued to deteriorate or what explains? And also you say it's a little bit of low attendance. So if you can elaborate a little bit on that.
Bo Sandstrom: Yes. So I mean, as we said just recently, I mean, most of the restructuring efforts, then particularly in Transportation & Places were towards the end of the quarter. So we didn't get any support in the quarter from a margin perspective in that division. Then we see some movement on the attrition, which we also then report in the report. But I would say from a general perspective, what we see in Transportation & Places for Q4, we practically see that it's normal fluctuations that we see in the project business. And there is no specific effect that is particularly strong and affecting the results for the quarter.
Dan Heimer: And the final one from my side. You're saying that the effects are coming in late in the quarter. So I know you had a very slow start to Q1 last year. How do you feel about January, I mean, in terms of billing rates, et cetera? Does it look a little bit better this year compared to last year?
Linda Palsson: I can say that it has been a clear priority and focus for us to keep the business momentum and keep the development on these important metrics that we have. So we are working very focused with these KPIs also going into 2026.
Operator: Then we will go ahead with Adela Dashian from Jefferies.
Adela Dashian: Just one from me on the backlog specifically. It continues to develop in the right direction, if you say so. Could you comment a bit on the quality and maybe also pricing of this backlog? And also, I guess, how much is driven by larger long-cycle projects versus shorter cycle? I know that has been maybe an area or maybe a priority for you to create better visibility by taking on potentially larger projects.
Linda Palsson: Thank you. Very good questions. Yes, we are happy about the development of our order backlog. It has been also one of our areas where we've focused quite substantially. And what's good to see is that we have good order backlog development in basically all our divisions and strengthening this going forward. So we have a healthy balance in the backlog between our divisions, between different project sizes and also in terms of geographies. But it's very important that we keep monitoring this and have a clear understanding of what enters our backlog going forward, and also to what margins projects enter our backlog. But we are quite happy with the mix as it looks today.
Adela Dashian: Could you comment anything more specifically on pricing in 2026? Are you already seeing any sort of like cost headwinds, or do you feel comfortable there as well?
Bo Sandstrom: I mean what we can say on the pricing on the order backlog specifically is that, I mean, we're very clearly committed to the kind of profitability uplift that we have. And of course, being diligent in securing that we have the right mix in the order backlog is a key component for that in the upcoming years. So even though we have price pressure in some of the segments that we have, we're quite diligent on just securing that we're not practically letting in a poor mix into the order backlog for the years to come. So to give at least one flavor.
Adela Dashian: Yes, that's really good. If I may, just one more. Obviously, defense is a strong sector right now. I believe it has been roughly low single-digit exposure as a percentage of total top line. Could you say what it represents today and what do you envision it to end up at if this very strong momentum continues?
Linda Palsson: Absolutely. And as you said, we have a lot of services related both to total defense related topics, but also to defense related. So this is a growing business for us, and we have a lot of the needed capabilities to expand our position within defense going forward. So it's a strong and promising market for us.
Adela Dashian: And what's the exposure today on a group level?
Bo Sandstrom: It remains at the lower single digits, but it's kind of -- it's between 4% and 5%. Then it's a difficult area to be kind of really specific about. But 4% to 5% is still where we are, slightly up from where we were a few years ago, but still on the lower side on the single digits. But clearly, it is a growth area for us, but we haven't guided on a kind of specific target set for how big share of the group that it will be in years to come.
Operator: Then we have the next question from Johan Dahl from Danske Bank.
Johan Dahl: A few questions. Firstly, on the order book sort of timing on that. I mean, fairly encouraging backlog growth. Can you say anything when you sort of expect that to sort of be translated to also invoicing growth? Are you able to have that visibility today?
Linda Palsson: Yes. As we said before, it's quite a big mix of project sizes and project length in our backlog. So it's -- we have different time lines on the conversion. But of course, as we grow the backlog, we come closer and closer also to the conversion. So we hope to see signs of that in the end of this year.
Johan Dahl: Right. Got you. On the billing ratio improvement, in your view, is that merely an effect of the restructuring carried out previously in '26? Or do you see any sort of organic changes in that from your perspective?
Linda Palsson: Yes, I would say it's both. Of course, the restructuring helps us here. But I would say our structural approach to this and how we now address this internally increases the transparency. So that is also part of the improvement that we see and that we will carry into the next year as well. So we're working focused on several elements in terms of our utilization rate. It's the planning, the resource management part of it. It's, of course, the rightsizing of our organization, but it's also the back end of our organization. So we work with 3 different parts, I would say, that will help us continue to improve our utilization rate going forward.
Johan Dahl: All right. Just a final one on attrition. I mean you addressed that here in the presentation. But I'm just wondering, especially in Transportation & Places, have you come across here, we're assuming mid-February, sort of any projects where you have apparent problems in sort of delivering on your commitments to customers?
Linda Palsson: No, we haven't had any delivering problems. As you said, we have had pockets of higher attrition here and there. The overall attrition for AFRY is intact or even declining, but pockets here and there, but they haven't impacted our ability to deliver to the clients.
Operator: Then we have a question from Julia Sundvall from ABG Sundal Collier.
Julia Sundvall: I would like to come back to the utilization rate. I just have a question on this improvement. Do you see this as a new trend? Or is it just something like a one-off effect or something like that? And if it is a trend, what is a reasonable turnaround pace?
Bo Sandstrom: Yes, I can start at least. I mean we don't see it as a new trend in that sense. If you follow the year-over-year development over a longer period of time, you see consecutive steps in a sense of a bit of change of direction in the year-over-year development, starting practically kind of mid-2025. So the utilization that we see and the development from a year-over-year perspective, the Q4 practically follows what we saw as an indication in Q3, where we were somewhat lower than last year, but marginally so in that sense, and it's following that. To give you an idea of where we're heading, we included utilization as a supporting KPI into our 2028 targets. And there, we said that we're going for a full year utilization level of 74%, which will mean an improvement of 2 percentage points from mid-2025 in that sense. Then at the end of the day, it's a big organization. It's a big metric. So we might see up until 2028, we might see quarters with bigger progress, and we might see quarters with smaller progress. But in general, we estimate the trend in a sense to be reasonably intact over time up until 2027, '28.
Julia Sundvall: Perfect. And I just want to come back to the Energy and the regional differences. Could you please remind me what is the problem here and what needs to happen to improve?
Linda Palsson: It's much related to the thermal and then also to some extent, the wind and solar side, where we see a very low number of wind power projects, for instance, in the Nordics. On the other hand, we see that we have a lot of orders coming in, in Southeast Asia in wind, but also in solar, as you have seen, we made #10 now on the ENR ranking. So that's a proof of that. So it's very low demand on especially wind and solar in the Nordics and Europe. Thermal projects, a little bit slow, but slowly taking off as well in Europe and Nordics. And then full speed ahead on transmission distribution, hydro and nuclear.
Julia Sundvall: Perfect. And then a little bit of a bigger picture question. But yes, at the start of the year, there has been some AI scare in the market and the sector. What is your position here? And is there any interruption in your development here regarding the restructuring? And are you missing or getting behind in some kind of sense or yes.
Linda Palsson: I can start. No, I wouldn't say that we do. We monitor this closely, of course. And there's many dimensions to AI. It's, of course, dimensions in our internal operation and how we utilize the AI to its full extent there. But more importantly, maybe in our clients' projects and their development journey. So we are monitoring both of these parts quite closely. So I wouldn't say that we lag behind. And the restructuring agenda...
Bo Sandstrom: I mean from our perspective, kind of the AI in a sense, both kind of impact and opportunity on our industry, it's not a short-term topic. It's a mid- or even long-term topic in that sense. So even though we are a part of the -- we're taking great kind of efforts into that area and nothing has changed kind of in the beginning of the year on that approach.
Julia Sundvall: Yes. And is there some sector or clients that can be more affected than others according to you?
Linda Palsson: No, not that we can comment on now.
Bo Sandstrom: I mean I think you would switch it around and then you would think of it as if it affects different disciplines or different kind of focus areas rather than affecting specific segments or sectors.
Operator: Thank you, Julia. And that was all the questions we had for today. So I'm going to hand back to you, Linda.
Linda Palsson: Thank you so much, and thank you for following us, and see you again after Q1. Thank you.
Bo Sandstrom: Thank you.